Operator: Ladies and gentlemen, thank you for standing by and welcome to the Paychex Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions]  It is now my pleasure to turn the floor over to Martin Mucci, President and Chief Executive Officer to begin.
Martin Mucci: Great, thank you and thank you for joining us for our discussion of the Paychex fourth quarter fiscal 2019 earnings release. Joining me today is Efrain Rivera, our Chief Financial Officer. This morning before the market opened, we released our financial results for the fourth quarter and fiscal year ended May 31, 2019. You can access our earnings release on the Investor Relations webpage. Our Form 10-K will be filed with the SEC before the end of July and this teleconference is being broadcast over the Internet and will be archived and available on our website for approximately one month. On today's call, I will review business highlights for the fourth quarter. Efrain will review our financial results for both the fourth quarter and full year and discuss our guidance for the upcoming fiscal 2020 and then we'll open it up for your questions. We closed fiscal 2019 with growth across our major product lines and solid progress toward our objectives. Our total revenue growth was 16% for the fourth quarter, which includes, of course, the incremental results from Oasis Outsourcing Group. Management Solutions revenue grew 4%, while PEO and Insurance Services revenues grew 67% or 10%, excluding the impact of Oasis.  As we look back on fiscal ‘19, we had a solid service and retention performance, a number of innovative enhancements to our product offerings and mobile app and we completed the largest acquisition in our history. The acquisition of Oasis added scale to our PEO business, and we ended the fiscal year, serving 1.5 million work site employees across all of our HR outsourcing services. In addition, we are beginning to realize the strategic benefits of the acquisition through the expansion of relationships with insurance partners and opportunities to upsell within the existing Oasis base. Our newly combined PEO leadership team continues to expand our leadership position in the HR outsourcing industry.  Fiscal 2019 reflected excellent execution in client service and operations, as seen in our client retention and our client satisfaction scores. Our client retention has continued to increase from the prior year, and we ended the fiscal year with payroll client retention on par with our historic best. We have made significant investments in our salesforce this year, particularly in our [insight] [ph] sales and mid market sales forces and in demand generation. These incremental investments are having an impact, as we have experienced increased sales momentum with these efforts. In addition, we have continued to produce solid new sales growth from our SurePayroll, HR solutions, retirement and PEO sales teams. The momentum in new sales coupled with improved client retention has resulted in overall growth in our payroll client base. As of May 31, 2019, we serve approximately 670,000 payroll clients.  In addition, excluding work site employees acquired as part of the Oasis acquisition, the number of work site employees served by our HR outsourcing services reflected double digit growth. America’s businesses are operating in challenging times. The unemployment rate is at its lowest in nearly 50 years, while employers try to ramp up their hiring. As a result, there is a lack of talent to fill open jobs and the regulatory environment is complicated and continuously changing.  State jurisdictions are continuing to advance employment related laws and regulations that impact the hiring and employment of workers. Also, the way people work is changing, requiring employers to understand employees’ workplace expectations, challenges and requirements. In this evolving landscape, businesses are looking for simple solutions that help them build their business, stay compliant, improve productivity and recruit, hire and retain talent.  Paychex is uniquely positioned to meet these needs through our breadth of service offerings, but more importantly, through the combination of our innovative technology, and personalized service model. This sets us apart and allows us to be true partners and advocates for our clients. We renewed our commitment to reducing the complexity for our customers related to payroll benefits and HR administration when we launched our new branding earlier this year. Our tagline, the power of simplicity, reinforces this commitment. We continually invest in our solutions to make payroll and HR administration simpler for our clients and their employees and provide solutions the way they are working today. 70% of the usage of our five star mobile app is done by our clients’ employees. We are making it easier for the employees and more productive for our clients through an increased number of self service options.  The enhancements we have made throughout this past year include the HR centre with performance and learning management and enhanced HR data analytics, benefits management enhancements with a refreshed enrollment experience for health and benefits and retirement and increased options through the use of chatbots and artificial intelligence. All of these enhancements are designed to provide simple solutions for our clients and their employees.  This focus on steadily investing in the innovation of our Paychex Flex human capital management technology played a significant part in our recognition by NelsonHall as a leader in payroll outsourcing for the North American small business market. This was our third year in a row receiving this designation. Shifting to other solutions, we currently face a retirement crisis in the US. A recent report from the US Federal Reserve found that a quarter of Americans have no retirement savings. We recently launched enhancements to our 401(k) product design to help address this crisis by simplifying retirement plan enrollment and management. These enhancements included a new participant dashboard and added functionality in the advisor portal. The new participant dashboard makes the process of enrolling in a 401(k) simpler than ever, and also provides a unique combination of tools and resources to empower participants in preparing for the retirement. Our mobile app allows a new participant to enroll in as few as four clicks, which has already resulted in increased participation rates.  We also continued to return value to our shareholders. In May, we announced an increase in our quarterly dividend of $0.06 or 11% to $0.62 per share. During fiscal ’19, we returned almost $900 million to our shareholders through a combination of dividends and share repurchases.  In summary, our fourth quarter caps another successful year for Paychex. Our state-of-the-art technology, full suite of HCM product offerings, and world class personalized service is a powerful combination that positions us for sustainable growth within our market ecosystem. Our organic business combined with our new acquisitions have positioned us well for fiscal 2020 and beyond. The sustained efforts of our employees and their commitment to our clients continue to drive the company forward. I will now turn the call over to Efrain Rivera to review our financial results for the fourth quarter and fiscal year. Efrain?
Efrain Rivera: Thanks, Marty and good morning. I'd like to remind everyone that today's conference call will contain forward-looking statements that refer to future events, and as such involve some risks. Please refer to our earnings release for the customary disclosures. In addition, I'll periodically refer to some non-GAAP measures such as adjusted operating income, adjusted net income, and adjusted diluted earnings per share. These measurements exclude certain discrete tax items and one-time charges. Please refer to our press release and investor presentation for a discussion of these measures and a reconciliation for the fourth quarter and full year fiscal 2019 to their related GAAP measures. I’ll start by providing some of the key highlights for the quarter and then follow up with some greater detail in certain areas. I'll touch briefly on full year results and wrap with a review of the fiscal 2020 outlook. Total revenue and service revenue, both grew 16% for the fourth quarter to 980 million compared to 958, I'm sorry, and 958 million respectively. Excluding Oasis service revenue, total revenue both grew by 5%.  Expenses increased 22% for the fourth quarter to 666 million, but if you exclude the Oasis acquisition, expense growth was 6%. The increase in total expenses excluding Oasis is primarily driven by increased headcount due to incremental investments in the salesforce, technology resources and operations to support the growth in business. In addition, an increase in PEO insurance costs contributed approximately 1% to the growth in total expenses in the fourth quarter.  Operating income increased 4% to 314 million. Operating margin was 32.1% for the fourth quarter compared to 35.7% for the same period last year. Margins were impacted by business mix, but -- due to the growth in the PEO business, accelerated investments in sales, technology and operations as well as some one-time acquisition, integration and amortization costs associated with the Oasis acquisition. Our effective income tax was 25.8% for the fourth quarter compared to 28.5% for the same period last year. Net income increased 6% to 230 million and adjusted net income increased 10% to 228 million for the fourth quarter. Diluted earnings per share increased 7% to $0.64 for the fourth quarter and adjusted diluted earnings per share increased 9% to $0.63. I’ll now provide some additional color in selected areas, management solutions revenue. As you know, this includes our payroll service revenue together with other HCM products included in many of our product bundles. It increased 4% to 695 million for the fourth quarter. The increase was primarily driven by growth in our client base across many of our services, along with growth in payroll revenue, and payroll revenue per check, which increased or improved as a result of increases, net of discounts.  Within management solutions revenue, retirement services revenue also benefited from an increase in the number of plans served as well as an increase in revenue earned on the asset value participants, 401(k) funds, PEO and insurances revenue, it increased 67% as Marty mentioned to 263 million for the fourth quarter. Excluding the acquisition of Oasis, PEO and Insurance Services revenue increased approximately 10% for the quarter. The increase was driven by growth in clients and client work site employees across our combined PBS and HROI PEO businesses.  Demand for our existing PEO services along with growth within our client base resulted in double digit growth in the number of client work site employees served. Insurance service revenue benefited from an increase in the number of health and benefit clients and applicants, partially offset by the impact of softness in the workers’ comp market as we discussed last quarter. Interest on funds held for clients increased 25% for the fourth quarter to from 25, I'm sorry, 25% to 22 million, primarily as a result of higher average interest rates earned.  Average balances for interest on funds held for clients remained flat for the fourth quarter as the impact of lower client withholdings resulting from tax reform legislation and changes in client mix were partially offset by the impact of wage inflation. Interest expense, net, I’ll note that we had a net non operating interest expense compared to net investment income in the prior year. This is a result of interest expense of the $800 million of debt financing that we utilized to fund a portion of the Oasis purchase price. The $800 million is made up of private placement debt securities with terms of seven or 10 years with coupon rates of 4.07% to 4.25% respectively.  Now, let me touch on year-to-date results quickly. Management solutions revenue, again up 4% to 2.9 billion; PEO and Insurance Services revenue increased 48% to 822 million, 19%, excluding Oasis. Interest on funds held for clients, up 27% to 81 million, driven by interest rate increases and partially offset by impact of decline in average invested balances. Total revenues increased 12% to 3.8 billion, 7% growth excluding Oasis.  Operating margins were 36.3%, tempered by investments in the business, the acquisition of Oasis and growth in the existing PEO direct insurance costs. Net income increased 4% and adjusted net income increased 11%. Diluted EPS increased 4% and adjusted diluted EPS also increased 11%.  Turning to our investment portfolio, as you know, our goal is to protect principal and optimize liquidity. We continue to invest in high credit quality securities. Our long term portfolio has an average yield of 2.1% and average duration of 2.9 years. Our combined portfolios have earned an average rate of return of 2.1% and 1.9% for the fourth quarter and fiscal year respectively. These are up from 1.7% and 1.5% for the respective periods last year. Let's talk about our financial position. It remains strong with cash, restricted cash and total corporate investments of almost $800 million as of May 31, 2019. Funds held for clients were, as of May 31, 2019, were 3.8 billion compared to 4.7 billion as of May 31, 2018. As you know, funds held for clients vary widely on a day to day basis, and averaged 4.1 billion for the fourth quarter and 4 billion for the fiscal year.  Our total available for sale investments, including corporate investments and funds held for clients, reflected net unrealized gains of 20 million as of May 31, 2019 compared with net unrealized losses of 38 million as of May 31, 2018. The move to a net gain position was due to declines in longer term yields. Total stockholders’ equity was 2.6 billion as of the end of the year, reflecting 827 million in dividends paid and $57 million worth of shares repurchased during 2019. Our return on equity for the past 12 months was a very robust 42%.  Cash flows from operations were 1.3 billion for the fiscal year, an increase of 1% from the same period last year. The increase was driven by higher net income and non-cash adjustments, partially offset by fluctuations in working capital. Working capital fluctuations related to timing around collections and related tax payments for our combined PEO business along with higher accounts receivables related to growth in our payroll funding business for temporary staffing clients.  Now, let's turn to the guidance. I remind you that our outlook is based upon current view of -- our current view of economic conditions continuing with no significant changes. Our management solutions revenue is anticipated to grow 4%. PEO and insurance revenue is anticipated to grow in the range of 30% to 35%, reflecting a full year of Oasis. Interest on funds held for clients is anticipated to grow in a range of 4% to 8%.  At this stage, we do not contemplate either any increases, obviously less likely and no rate declines. We will watch and see what happens. Total revenue is anticipated to grow in the range of 10% to 11%. Operating income, as a percent of total revenue is anticipated to be approximately 36%, comparable with this year, reflecting the expected impact of higher PEO direct insurance costs.  EBITDA margin for the fiscal year 2020 is expected to be approximately 41%, again, comparable to where we are -- where we end this year. Net interest expense is anticipated to be in the range of 15 million to 18 million, reflecting a full year of interest on outstanding long term debt, which I discussed previously. The effective income tax rate for fiscal 2020 is expected to be in the range of 24% to 24.5%. Net income and diluted earnings per share are both anticipated to grow approximately 8% and adjusted net income and adjusted diluted earnings per share are both expected to increase in the range of 8% to 9%. And remember that we don't plan on necessarily the benefit of -- tax benefit when we get stock comp exercise, which is why we adjusted out. I will provide further color on the gating. Management solutions revenue quarterly gating is anticipated to be consistent with the full year guidance, with the exception of the first quarter, which is anticipated to be in the range of 3% to 4%, largely due to a mix of days in the quarter. However, please note that growth rates for the PEO and insurance revenues are anticipated to be significantly higher in the first half of the fiscal year, until we reach the anniversary of the Oasis acquisition.  So, we anticipate growth in the range of 60% to 65% in the first half of fiscal 2020 and then growth of 11% to 14% in the second half. So, let me just repeat that. We anticipate growth in the range of 60% to 65% in the first half of fiscal 2020 for PEO and Insurance Services and then growth moderates to 11% to 14% in the second half, as we anniversary the Oasis acquisition.  Our net income gating is also impacted by the timing of the Oasis acquisition together with related amortization expense and integration costs. This causes lower net income growth in the first half of the fiscal year. In addition, incremental investments in sales, technology and operations are ramped over the year during fiscal 2019.  We expect net income growth to be below the full year guidance range provided at approximately 3% for the first half of the fiscal year. And then we expect it to increase to a range of 11% to 13% in the second half of the year. So, let me repeat that. We expect net income growth to be below the full year guidance range for the first half of the year, and we expect it to be approximately 3% for the first half of the fiscal year and then we expect it to increase to a range of 11% to 13% for the second half of the year, due to the factors described above.  Then, one final point on -- specific to Q1, for the first quarter fiscal 2020, net income growth is anticipated to be in the range of 1% to 2%, with the most significant driver being that of investment spending, funded by tax reform that was just starting to ramp up during the first quarter of fiscal 2019 and incremental expenses from Oasis. So with that, and with that color on the guidance, I will, one, refer you to our investor slides for more detail that have been posted on the web and I will now turn the pull back to Marty.
Martin Mucci: Thank you, Efrain . Operator, we’ll now open up the call for any questions please.
Operator: [Operator Instructions] Our first question comes from the line of Ramsey El-Assal of Barclays.
Ramsey El-Assal: Hi, guys. Thanks for taking my question. I wanted to ask again, about just your operating margin guidance. You took it down a little bit and of course, you called out higher PEO direct insurance costs. Can you again just sort of remind us of the drivers of those higher costs? And also, are there any other secondary factors or headwinds. There was quite a bit of content in your remarks and just kind of parse out for us exactly what's happening in terms of your expectations for guidance for margins in this coming year?
Efrain Rivera: Hey, Ramsey, the first thing I'd say is that it wasn't a change from what we said before. We said that operating, when you go back to Q3, and we said it would be consistent with this year, which was 36%. That's what we called out this year. So I would say that, with respect to your question on the margins, what we're seeing is that we, by having more PEO revenue in the mix, it has a moderating impact on margins and it's offset by other efficiencies in the business, which is why even though our PEO revenues are up as a percentage of total revenues for the year, you see that the impact actually year-over-year is not significant.  The other thing I would point you to is that in Q3, we said that our EBITDA margin would be comparable to our operating margin. And that's exactly what we just stated. So I think it's consistent with what we said before. 
Ramsey El-Assal: Fair enough. I wanted to ask you a broader kind of industry question about the PEO market in terms of further consolidation, just in terms of the industry, do you expect this market to kind of continue to consolidate, you’ve got another couple of good sized players out there, probably a lot of smaller regional players as well, how do you see the market landscape changing?  And then just a quick final bolt-on is, what interest rate assumptions are you using for your fluid income growth guidance. And with that, I can hop back in the queue.
Martin Mucci: Okay. Ramsey, I'll take the PEO one. I think you will see some further consolidation. I think as it becomes more competitive, you need to have the breadth of services and the relationships with the carriers to offer the best, both combination of product and service, the best technology from a mobile standpoint as well, for the enrollment of the benefits. And you got to have the experience to handle some of the pretty rapidly changing requirements from the state side and from the carriers on what the new insurance plans are, what the new rules are, and the HR piece of it is becoming even more important many times than the benefits themselves.  So I think smaller players will find it, continue, will continue to find it difficult to provide and compete in this environment. And certainly with our acquisition of Oasis, there's been a lot -- even more interest, I think, in the consolidation and the growth in that market, which continues to grow very strong across the board. I think as I noted and Efrain mentioned I think as well, our growth in work site employees was double digits, even without the Oasis acquisition. So we're very proud of the sales and the service that we're providing in the PEO market. And I'll turn it back to Efrain on the interest rate assumptions.
Efrain Rivera: Yeah, so Ramsey, in my comments, I mentioned in the fourth quarter, our combined portfolios were 2.1%. You can see for the year, we were 1.9% for the full year, so I would expect that, when you look at the full year impact, we're going to tick up slightly from where we are in fourth quarter, we'll have a little bit of benefit from balances that should be a bit higher than what we had this year. But it's modest. You can see in the guidance, a 4% to 8% increase on interest on funds held for clients, we're being somewhat cautious on what we expect in terms of the portfolio.
Operator: Your next question comes from the line of Jim Schneider of Goldman Sachs.
Jim Schneider: I may have missed the exact client count growth, you used to call it out in your prepared remarks, can you maybe talk about, within segments, small, micro, small and mid market kind of where you [Technical Difficulty]
Martin Mucci: I think it's either on, I think it's on – in the press release, and it's on our investors slide. So we ended the year at about 670,000 clients. Last year, we disclosed 650. We saw growth or -- we saw a lot of growth in the SMB segment of the market.
Operator: Your next question comes from Jason Kupferberg of Bank of America.
Jason Kupferberg: I just want to start with a question on core payroll revenue growth and thank you for the final quarter disclosure on that metric. I think it did slow to a point down to 2% in Q4 and came in I guess 2% rounded for the full year. Was that effectively all pricing? And then would you expect to get a similar amount of pricing in fiscal ‘20?
Efrain Rivera: Jason, I don't think it slowed. I think what you're seeing is that we anniversaried the acquisition of Lessor last year. So Q3 was a tick higher and it is very difficult, I would caution to compare Q3 to Q4 now, because Q3 has certain kinds of revenue that only recur -- only occur in that quarter. So, I think we ended up, we were pleased with where we ended up, we had client growth, we certainly saw some really robust results in parts of the market. Our internal sales were very good. SurePayroll had a really strong year and we are positioned really well from a digital marketing standpoint and from an internal sales standpoint. So I feel really good about where we're exiting the year. And obviously, we had client growth, which is the ultimate indicator of that.
Jason Kupferberg: And just anything on the pricing?
Efrain Rivera: Look, pricing is a part of -- is a part of the equation. So, we would expect certainly that we can continue to get price and never had an issue. 
Martin Mucci: Yeah, we've had, especially when you think about the client retention at historic highs, we think the pricing has stocked very well. And we've been able to sell the value of not only the technologies and that we've been introducing in the mobile app and so forth, but the service as well. So I think, still having the pricing in the same range we've been in the past, it should absolutely be doable, and we should be able to retain and hold that pricing as well. 
Jason Kupferberg: And I just wanted to make sure I heard the comments properly around the fluid income forecast. I think you indicated you're not assuming any changes in fed funds. I mean, obviously the market is pricing in a high probability of that next month. So I just wanted to make sure that you still got the rule of thumb right on that, if I recall, a 25 basis point change in fed funds is roughly a percent or so of net income, does that still hold?
Efrain Rivera: 25 bps, no, it's not correct. So, it's about a 25 bp drop would results between in a impact of about 3 million to 4 million. So, I haven't done the, maybe that equates to 1%, but I would caution a little bit about that because one of the things that we looked at when we looked at the guidance was, we have ways to adjust the duration of the portfolio to deal with changes and modest changes or declines during the year. So I wouldn't necessarily take that to the bank, because we do have some things we can do, if we see some modest decreases during the year. And that's why we are conservative on the range we've provided. 
Jason Kupferberg: Okay. And then just last one, kind of on the macro front. I know you guys obviously have no client concentration, but just wanted to see if we can get an update on which parts of the economy these days you're most exposed to, construction, manufacturing, service industries, restaurants, whatever it may be, just as people contemplate where the US economy may be heading in the next 12 to 18 months, how we should be thinking about Paychex’s exposures?
Martin Mucci: Yeah, I think, we're pretty well spread across all of the different sectors. And I don't think we're seeing any big change in any of those. On our small business index that we put out for clients under 50, we're seeing kind of all sectors kind of hanging in there at the same, manufacturing has been down, but it's about the same. And I would say still the strongest from an index perspective is those other services, discretionary services, and those type of things that were pretty heavy in.  And so I would think that they're still doing pretty well. And, they're still -- they're not necessarily growing, but they're growing, but they're growing at a slower rate than they have in the past. But they're still growing. And I think the thing would be to watch some of the minimum wage increases, and has that done anything. We haven't seen a big impact from those at this point. And instead, we're seeing sometimes more hours worked in general for those jobs. So I would say we're pretty spread out and we don't see any major concern at this point, we're not seeing any signs of necessarily a slowdown, still growth, little slower growth than in the past, but that was some of the recovery as well. 
Operator: Your next question comes from the line of James Berkley of Wolfe Research.
James Berkley: Just wondering what you guys are seeing for bookings on the PEO side, you’re still trending low double digit to low teens like you were last quarter, any change in cadence there. And could you walk us through the workers’ comp and the way it impacts you going forward and just how you're thinking about that in the quarters ahead.
Martin Mucci: I would say on the PEO side, both existing client growth, and work site employees, and the new sales have been very strong. As I mentioned, we're double digit without the Oasis acquisition and of course, with that even stronger in the double digit side. So, we're showing very good strength in work site employees. We now across PEO ASO, all of our products, we serve more work site employees than anyone else. And we're showing great solid growth there. As I mentioned, the need for HR and the benefits is so much -- so significant these days with the unemployment rate so low, particularly for small and mid-sized businesses, if they're going to attract and retain people, they really need the benefit of good benefits plans and good HR, which includes training and developing their people, data analytics, all the things that we're providing now, learning management systems that give them free training modules that they can use or develop their own.  So I think we're going to see continued good strong growth in the PEO side, in particular, and of course, our ASO side as well, if they don't necessarily want the PEO or don't qualify under underwriting. We take them through the insurance agency, of which we’re the 20th largest in the country. And that gives us a great out that even many other PEO competitors do not have in their favor. Would you want to talk about workers’ comp?
Efrain Rivera: Yeah, so just to add some color on that James, two of the strongest quarters from a bookings perspective in the entire company were PEO, which was very strong and then mid market, which was very strong too. So we had two parts of business that had very, very strong growth from a bookings perspective. On the workers’ comp side, it was, as we called it, a soft quarter. We think that's going to persist for at least two or three quarters that's built into our guidance. Rates have softened pretty significantly. It tempers the growth of PEO. You can't see it as much because our PEO growth in the fourth quarter organically was in the upper teens. And so it's tempered a bit by the cyclical nature of the workers’ comp market, which currently is soft, but we will see where we end up at the beginning of next year. So there's a couple of things that mask what is very, very strong performance on the PEO side and we were very heartened also by strong performance in mid market HCM.
James Berkley: That's good to hear. Just two more quick things I wanted to touch on. Something that you guys mentioned, you talked about SurePayroll briefly, just saying, you had a great year there and you expect them to do well going forward I think. Can you just expand on that a little bit? And then secondly, the duration comment you made, I think your portfolio is around like 3.1 years or so, like, what can you bring that to? And how would that impact the 3 million to 4 million you referenced? Just a little more color on how we should think about that. 
Martin Mucci: Yeah, I'll lead with the SurePayroll. Yeah, I think, we have really mastered the [indiscernible] demand generation, we've put a lot of investment in that from both SurePayroll and Flex and Paychex Flex. And I think we've really done a great job as far as the investments in improving demand generation and nurturing, meaning including nurturing leads, that were weaker leads in the past that we may have lost because we didn't -- they didn't -- weren't ready to buy it. But we've got a quite complex nurturing process now where we can reach out and continue to build the leads, and get them when they're ready.  SurePayroll, I think has been, not only priced effectively, but also through the demand generation, getting a lot more leads and been able to close them and also allowing some self service options. So allowing clients to kind of onboard themselves if they wish, which was a lot more self service options that prospects want now. They can go in, they can start. If they need help, we’ll jump in and help them. But that whole self service part of it is also another way of capturing a lead that was looking to get started right away and may have been difficult to reach if we call them back.  So the whole change, the number of changes we've made in demand generation and handling telephonic sales, both here at Paychex and through SurePayroll have been very strong and we expect that growth to continue. I think the product, the service and the positioning of how we sell online and telephonically has become much stronger this year.  Efrain, you want to take the…?
Efrain Rivera: Yeah, so, yeah, you're right, James. So the duration of the portfolio is in the low 3s. We could stretch that up to about 3.75 years of duration if we wanted to. We're obviously playing a number of those different variables across different scenarios. So that's why, I think in response to Jason's question, actually, maybe Ramsey, and Jason’s question, what we feel comfortable with is by setting the range where we are, we will just see where the fed ends up from a rate cut perspective and then we can adjust the portfolio accordingly to not have a major impact.
Operator: Your next question comes from the line of Brian Keane of Deutsche Bank.
Brian Keane: Just a couple of clarifications, on the payroll client growth of 3%, was that in line with expectations and how is that tracking historically? And should we just kind of model that same amount of growth going forward?
Efrain Rivera: Every year is a little bit different, Brian. So, I would say that what we say is that expect payroll client growth to be in the 1% to 3% range. Last year, we didn't hit that target. This year, we were solidly within that. I would say that going forward, we expect to be within that range. 
Brian Keane: And then thinking about the PEO insurance revenue growth, I know in the back half, we're talking about 11% to 14% growth. I'm guessing the fourth quarter will be the strongest quarter, though as some of the worker comp issues lap and then kind of growth rate should be a more normalized growth rate there once we get through the worker comp issue.
Efrain Rivera: I am going to hold off talking about it specifically, because there's, by the time we get to Q4, there'll be lots of specific issues that are going to affect -- could affect that growth number. So I hope, but I think what we're comfortable with is saying where we are at the second half, we’ll update as we go through the year. 
Brian Keane: But the drag, primarily the drag out there in kind of the second half, is that workers’ comp growth rate or just any other puts and takes? I know, the business obviously outperformed, growing 18, I think it was 18 to 20 was the guide for fiscal year ‘19 originally, and then. And now that's a little bit of a lower growth rate, ex that, so just trying to make the delta change.
Efrain Rivera: So I get where you're going, but I guess Brian, what I'd say is that we should have anniversaried a lot of the impacts by fourth quarter, but I have no idea of what the growth rate and the existing growth rate we’ll be in at that point in market growth rate I should say, not ours, I know exactly what ours is. So I can’t call that specifically. I think the fourth quarter will depend in large measure on how strong we exit the year, next year with PEO, with Oasis in the fold. So I think it's going to depend on that and also where we are with the workers’ comp market. So they're still miles and miles to go before we get to Q4 of next year. But those will be the factors that will drive Q4 growth.
Brian Keane: [Technical Difficulty] continues to move and improve, how much room is there still to go that you can improve client retention?
Martin Mucci: Hi, Brian. You cut out just at the very beginning of that. Could you just say that again?
Brian Keane: Yeah, just was asking about client retention. That seems like it's continued to improve and move the right direction, just trying to figure out how much more room is there for that improve as you guys go forward here?
Martin Mucci: Okay. Yeah, I think we're very pleased with what we've done. We're at historic highs. So we'll always try to make that a little bit stronger. I think we're finding ways to service clients differently now, as they want to be serviced a little bit differently. It's not all -- it's probably half of them that want that necessarily telephonic payroll, dedicated payroll specialist, so many more are calling in, so many more are using the app, the chatbots and that we're doing for self service.  So, it's putting us in a place that we haven't been before, that could drive a little bit of more improvement. But given the number of losses in small business, which is still a large majority of the clients, I'd have to say, I'd like to say, I do see some improvement, but it probably has some top level, it can get to when you just have a large number, half of them or more, a little bit more than that are just out of business. So it'll depend a little bit on, obviously, the economy as well. But those leaving for service, price and those things, I think and still get a little bit more of improvement out of it.
Operator: Your next question comes from the line of Jeff Silber of BMO Capital Markets.
Jeff Silber: Just had a couple of modeling related questions, I know you typically don't guide to free cash flow. Is there anything going on differently next year or should we just kind of assume this typical conversion rate from EBITDA?
Efrain Rivera: I think it's probably typical, Jeff. We also gave, I think, in the investor slides, we give you an update on the D&A for next year versus this year. So, you can calculate the incremental amount. I know you're big on those two numbers. So as and, they're important, so they're in the slides there. But, there should be no significant changes in terms of conversion.
Jeff Silber: You caught me on that, Efrain. Thanks.
Efrain Rivera: You caught me so.
Jeff Silber: And then also just a minor one, you gave us some color on the cadence quarterly? I do appreciate that. Is there any specific impact from a margin perspective quarterly and also from a tax perspective quarterly?
Efrain Rivera: Well, I mean, from a net perspective, there's some impact. When you work through the model of what I said, where the first half is 3%, and I called out Q1, 1% to 2%, and then in the back half, so from a net perspective, obviously, in the back half, what you're seeing is higher margins. But part of it is too that, partly due to ASC 606, we have more -- we're more heavily back half weighted than we used to be before. And so if you look at our expenses, and you assume that there's not big changes quarter over quarter in our expenses, what you see is that the flow through of the incremental revenue drives higher income in the back half of the year. That's what you're seeing.
Operator: Your next question comes from the line of Kartik Mehta of Northcoast Research.
Kartik Mehta: Marty, I wanted to ask a little bit about the PEO business. I know, Oasis, you talked about investment both in sales and technology. And I'm wondering, what kind of growth you are anticipating next year for the Oasis sales force? And just from a technology standpoint, is that just that you're going to have a more robust mobile offering or are there other investments that you're making in the business?
Martin Mucci: Yeah, I think Kartik, what you'll see and we've already been doing some of this is linking them to our products. So, Oasis already now is linked to our time and attendance products. They are linked better to our interfacing with our 401(k) in our retirement services product. These are things that that salesforce has not had before. They also have the opportunity to use our insurance agency, which they didn't have before. So if they didn't, if it is a PEO, if the underwriting didn't fit primarily, they couldn't necessarily take them for insurance, for the insurance products. And now they can run those through our insurance agency.  We're just kind of working through all of the sales teams, but we have all of the leadership team now in place for a number of months, for probably a quarter and they're working through combining all of the sales processes and compensation plans and directions. And so they'll have more products to offer. They'll have insurance, the insurance agencies to support them. And they'll certainly have all of the tools with salesforce and the level of technology that we use for our sales teams to track leads and referrals, et cetera. So, we're feeling that we're pretty solid coming into this fiscal year as we start this month with Oasis and our PEO teams really combined -- and underwriting as well, all kind of combined and streamlined, so that they're going to have a lot more to offer. 
Kartik Mehta: And then Marty, I think you talked about maybe changing of how you're obtaining clients in the sense that I don't know if you use this word or not, but inside sales, and has that, I guess how has over the last 6 to 12 months, changed as to how you're obtaining clients versus just sales force that knocks on doors versus somebody that's inside.
Martin Mucci : Yeah, the inside sales or telephonic sales, from a Paychex standpoint, has continued to increase their production, their double digit growth over last year. We're also introducing, in trialing some self service and really through SurePayroll who has had that now for most of this year, now, you're seeing that, one, the leads come in, and they can either be addressed immediately by either the field or telephonically, depending kind of on the size and what they're looking for, if they're directly referred to by a CPA, who is tied to our field sales rep, we’ll get them right to the field sales rep immediately. And they'll address it, if they'd rather just deal with something on the phone, do a demo over online, and then close on the sale right there and have it, implemented it, we’ll do that. And now we're moving, you're going to see us moving toward a self service option as well that SurePayroll has, and has been working very effectively.  One of the biggest issues with telephonic sales and leads frankly coming in is that once you have the lead where someone's been interested, they fill out a form, you can't get back a hold of the prospect, because nobody answers their phone anymore. So, what we're doing is, we're -- by allowing self service where the client can actually get started and set themselves up, if they have an issue, then we can talk to them. But they've already started by almost completing the sale by starting to set up themselves, which they'd like to do immediately. So that has also really turned out very well for us and we're seeing a lot of good leads there for sure. The field is still very important to us, particularly from a channel development, we still continue to be a leader, I think in the CPA referral market, incurring client referrals. And that's done very strongly by the field. And they'll continue to concentrate on that. But as more of the small, the brand new businesses start up and they come in through the web, the deal is how fast can you handle them and they're certainly fine with handling it over the phone or setting it up themselves.
Kartik Mehta: And then just one last question, Efrain, obviously the balance sheet, other acquisition opportunities that happen to come up, what's the comfort level in terms of leverage for the company today?
Efrain Rivera: Well, right now, we end the year, we're at zero net debt. So, we certainly have the ability to get more leverage, be more levered if we want to. Yeah. I don't think there's a specific number, we're going to be conservative about it obviously, a turn and a half of EBITDA that starts to get a little bit higher than, a little bit higher in the range, would we go higher, it would really depend on whether we thought an acquisition was strategic or not. So I think it depends on the, it depends on the opportunity. Oasis, we used cash on hand, we borrowed $800 million. Oasis is going to be cash accretive. We have the capability of doing the right kind of targeted acquisitions to be more acquisitive and it will depend on, it will depend on whether, what’s the size of the acquisition and how strategic the opportunity is.
Operator: Your next question comes from the line of David Grossman of Stifel.
David Grossman: Just wanted to go back to the growth of the PEO, but I guess I'm just having a little trouble following the math. So perhaps you can go back and reconcile the organic growth of the PEO in the fourth quarter, which I think you said was about 10%, with the high teens growth for the year, and then the guide of 11 to 14 in the back half of the year, next year, which presumably is an organic number when you lap the comparison. I know workers’ comp is a little bit of that. So if you could just maybe deconstruct that for us.
Efrain Rivera: So now, you started with a faulty premise, you said that PEO was 10%. PEO was not 10%. PEO and Insurance was 10% in the quarter. PEO, as I mentioned before, if we isolate it, was upper teens, number one. Work site growth, work site employee growth was again double digit, we didn't disclose an exact number. But you can see from the growth in work site employs that Marty cited, we're up to 1.5 million of work site employees serviced across our ASO and our PEO that we had nice growth. So, we had really good bookings growth organically on the PEO, the PEO at the end of the year organically was growing in the upper teens. And then in the back half of next year, we're calling up 11% to 14%, once we anniversary Oasis and what's going on there is that there's a drag from workers’ comp that's impacting that number. So if there were no workers’ comp, the number would be higher, based on where we anticipate things will be as we get to the third and fourth quarter of next year. So hopefully that –
David Grossman: Right, so I'm sorry. So you are high teens PEO growth in the fourth quarter, and you are high teens for the year. Is that it?
Efrain Rivera: I think it's called out either on one of the slides or in, I called it out in my comments. But our PEO growth for the year was 19%.
David Grossman: Thank you for that clarification.
Efrain Rivera: It's always important to remember that PEO and Insurance as the Paychex Insurance Agency, and we're battling a bit of a drag on the workers’ comp side that we will battle into next year. But we're obviously showing some pretty good underlying growth.
David Grossman: Right, right. And then just, there was a comment, I think, Marty, you made about the integration with the carriers, as it relates to Oasis. So perhaps you could just give us a little bit more color on kind of where you are in that process and how much incremental geographic reach you're getting as a result of that, as you try to convert the payroll installed base?
Martin Mucci: Sure, David, there's really two pieces of that. Well, first of all, I think we're in good shape. We're in the middle of that now, but have been already working through it, and particularly the last few months. So one, there's geographic growth, because they were in some states and areas that we weren't. So, they had relationships there and already had some clients that we could gain referrals from. From the carriers, they were a stronger -- they were stronger with one particular carrier that we have not been quite as strong with that gave us a little bit more leverage when you put ours together. Now we have more strength and more clout with all the carriers that we’re involved with.  So we think we've got very good plans between the two of us, going forward into fiscal ‘20. And those were allowed kind of through the year. And so that gives us a better, also, when you have more, more clout, I guess or more clients, obviously, we’ll have better integration with those carriers as well. So I think we're set up well with the number of carriers, the plans and the integration with them. So it's going to give us an expansion into a little more, a few more states that we're not in, but better than that, a little bit stronger carrier relations for the best benefit plans, which is one of the most important things to have as you go out and compete.
David Grossman: Right. So as you look at kind of the geographic template with Oasis, do you think you've got pretty much solid coverage across the overlap with your installed base and payroll customers?
Martin Mucci: Yeah, we certainly do, particularly, I wouldn't say it covers the whole map by any means, but it covers those states that particularly have an interest in PEO and I don’t mean just the Georgia, Florida, Texas, California kind of thing, it's going into more states as we expand it, but it definitely picked up. I think they were in 14 different states, so we definitely picked up more states and where there is more interest in PEO, so it expanded where we were from that standpoint. And again, as I mentioned earlier, we're already integrating them with some of our products that they didn't have to offer as well. So not only do you get caught with the carriers and the benefit plans that they can offer, but also now they can more easily sell time and attendance that's integrated, 401(k) that's integrated, and they have our insurance agency to back them up if there's a client we don't want to underwrite.
Efrain Rivera: Hey David, one other thing I would say, I want to make sure that it's not implicit in the assumption in your question, PEO is probably, is unique among the products that we sell in that a significant amount of the sales come from outside the Paychex client base. So if you take HROI and Oasis, you now have access to clients that are outside of the Paychex traditional base, client base. So our expectations about growth in PEO are not solely based on the upsell of existing Paychex clients. They're based on going out and getting new, brand new to Paychex clients and PEO. So, it's a mixture of both. So, and we talked geographic coverage, not just the base. It's also being in those geographies in a more concentrated way.
Operator: Your next question comes from the line of Lisa Ellis of MoffettNathanson.
Lisa Ellis: Can you talk a little bit about the investment focus areas for 2020? I mean, you've had terrific success now with the digital marketing initiatives, sales initiatives, et cetera. You've got client base up, retention up. As you're looking out into 2020, what's the next wave of investment areas?
Martin Mucci: Yeah, I think it continues to be in the innovation of the products and adding every -- about every six weeks, we're adding additional feature and functionality to the payroll products, and particularly the HR side of the business, whether it's learning management, whether it's a partnership with, let me stick with the product for a second, I want to go to partnership. But with the products like learning management, data analytics, I think you'll see also, we're continuing to invest in the chatbot and artificial intelligence that we're using. We're seeing that to be a big help from the service perspective, and also on the mobile app. So we're continuing to make things simple for clients and their employees.  70% of our mobile app usage is employees of our clients. And what we're finding is things like when we make it easy to enroll in 401(k), they can do it in four clicks now versus the paperwork and the passing of the paperwork to the client and to us and back and forth. That participant rate is already going up. And those who are signing up for the 401(k), that leads to better client retention, because they now pass all the compliance tests. And they have their employees that are happy with their retirement plans and gives them better retention.  So the investment will be to continue to make things simple from the mobile app side, from the client employee side, self service is going to be – it just continues to be very important, right from initially signing up, right through to setting up everything for yourself, there's a whole wave these days of clients and their employees wanting to do things themselves when they want to do it. So you've got to make everything simple. Luckily, our investments very long ago started to be, our development was mobile first, meaning everything is made, designed simple for the mobile app, and then can expand for your desktop, as you need it.  So a big thing there. Partnerships will be again, for, we have the only large partnership that's been announced with Indeed. We are out there, providing a connection directly to Flex with basically the push of a tile or a button that will get you to Indeed and help you post a job, critically important right now in this low unemployment area. These are partnerships that we haven't necessarily done before and we're being much more aggressive in trying to partner with what the needs of the client have been.  So, we're very pleased with the investments in artificial intelligence and chatbots. What that also, I didn't even mention, has done for service. Now we're taking, I mean, 60% of the service requests coming in on a chatbot are handled by that or coming in online are being handled by that chatbot. That's freeing up our personnel for much more complicated questions and for more clients that they can handle. So, it's really helping us from a service perspective as well.
Lisa Ellis: Efrain, I have a, just my follow up, a sort of back to basics question on the PEO and ASO business, because you've mentioned a few times now, your insurance agency, can you just remind us when and what types of clients you will take on the underlying actuarial risk? And then I guess I thought that you reinsure that. So can you just clarify, sort of in what situations does the client end up entering the PEO versus end up using your insurance agency potentially? And like what differentiates those two and sort of how does it impact your economics?
Efrain Rivera: Yeah, so just the 122nd flyover, on workers’ comp, I'm going to say between 60% and 65% of all clients in PEO end up being underwritten by Paychex and then we set reserves and have reinsurance above certain levels, have been doing that for more than two decades without any issues. We look at that very, very closely. So then you say, well, what happens to the other third? Well, there's certain clients that you don't want to underwrite workers’ comp or we have the unique advantage of having a insurance agency right next door. So we will place those clients with Paychex Insurance Agency. And one of the things that we found this year that was really a help was that by creating more of a tight linkage between the PEO and the insurance agency, it's now much more seamless to say to a client that otherwise we would not do workers’ comp for, to simply refer them to the agency to see if they can get a policy place, that's been a big plus and a big hit with our sales force too. On the healthcare side, it's primarily a state of Florida issue, there's a little bit of other risk we take. And that's just a function of the concentration of clients that we have in Florida, we have an MPP plan, we do insurance with the blues of Florida that gives access to a much broader network or to a broader network of healthcare providers. And again, we look at the projected MLRs or medical loss ratios for the pool, we adjust reserves appropriately and above a certain amount, we reinsure that risk. So that's basically what we're doing, more limited risk taking on the healthcare side, we take some risk on workers’ comp, reinsure it, and then are very strict about who we let into the pool in either case, and refer other clients. By the way, I said, workers’ comp in terms of insurance referrals, we also refer for healthcare to our agency. So we've got flexibility and this helps us kind of protect the quality of the pool and workers’ comp in healthcare.
Operator: Your next question comes from the line of Kevin McVeigh of Credit Suisse.
Kevin McVeigh: Hey, so I know you mentioned a couple of times on the retention that you're bumping up against historical levels. So if you think about the investments you've made, kind of diversification into PEO, is it, what's the probability we enter a new range on that? And I guess, Marty, can you remind us kind of where we are, where that number is today? And if it is in fact the case, so we can kind of reset that range, what's a better way to think about that? And then just, what's the sensitivity to 100 basis points in terms of revenue?
Martin Mucci: Yeah, I'll start with -- it's a little stronger than 82% on the client retention, the way we look at it. I think it's a little bit better than that from a revenue perspective, we don't typically give that but it's better than that. So our historic high has been right around that 82%. Now, when you think about, as I said Kevin earlier, when you think about losses for the small business side, it's pretty tough to get a lot better than that, because small businesses just start up and go out of business. And obviously, we've been able to handle that very effectively and profitably, but I think, we'll look through the investments that I just talked about, on Lisa's question, when you think about the investments in chatbots and artificial intelligence and responding to clients even quicker, is there something there not to mention, we've done a lot of investment in data analytics, and knowing models of which clients are, which clients are most likely to leave us and then we approach them kind of proactively through a retention team.  I think all of those have that and the great service, which we are at historic highs for our net promoter score as well. I think are all benefiting that, getting us to the best. So do I think we can do a little bit better than that? I think so. But I just think it does have a top limit because of just the number of out of businesses that happened in the small business market.
Kevin McVeigh: And then just real quick, obviously, we've taken about 200 basis points investment, put it back into the business. But you've shifted a lot of the capacity of the cloud. So just trying to get a sense, where are we in that cloud evolution, number one, and then just obviously, there's certain amount of margin benefit from that as well. I guess, twofold, when do some of those investments run off? And then what's the uplift on the margin, as the capacity is done through the cloud as opposed to the traditional service?
Martin Mucci: Yeah, I think, pretty much, you can say everything is pretty much in the cloud now, the way the clients approach us and where our services are. I mean, everything is software as a service, and everything is built as I said, mobile first, everything is available that way. I think some of the additional investments that we've made and talked about will start to run off at the end of this year. We made an investment and a very deliberate investment, to speed up some of the product development that we could see ourselves doing in the future, instead, to take advantage of the tax savings, to instead of just run it off of the bottom line in a one-time kind of fashion.  Hey, let's put some of this to accelerate the product development, we've been very happy with that. Obviously, it's driven the best client satisfaction and retention scores; it's improved our sales overall, our part growth is the best that's been in three years from a sales perspective. So we're feeling like the right investments were put in place for sales, for telephonic sales, for demand generation through marketing, and through IT, but some of that through the IT will start to come off towards the back of the year. I don't think we've given, hey, what that will do necessarily, the margins are probably will. But at this point, but it will roll off, some of that will go back down to a little bit less investment, normalized investment toward the end of this fiscal year. 
Efrain Rivera: Hey, Kevin, one other thing to answer that question qualitatively. As Marty said, the investments start to roll off as we exit this year, which is what we had said before. At that point, in the absence of any change in the mix of the business, you would expect operating margins now to start to float back up. The only caveat that I've said when I get asked on that question is what is the growth of the PEO, because the PEO has a moderating impact on margins. Now, the offset to that would be faster revenue growth potentially, but I would say as we go through the year, we'll have better sense of kind of what the overall margin of -- the underlying margin uplift excluding PEO is going to go up. PEO will have an impact, though, overall, depending on mix.
Kevin McVeigh: And Efrain if I could real quick, are you kind of where you are from a headcount perspective? Or would there be some more optimization based on kind of how the capacity sits?
Martin Mucci: You mean, just I in general, or are you specific to anything? 
Kevin McVeigh: I would say just the, either, however you want to answer that.
Martin Mucci: I think, look, we're always -- we've got a history of being very profitable and making sure that we keep our costs low. I think we continue to always look for leverage. As Efrain said, the change in the margins have been mostly because of the PEO business, and the way that that hits your financials drives a lot of revenue, but also has higher expenses and brings the kind of margin percent down. But I think we're always looking for ways to continue to leverage and I think the investments we've made, but again, back to when you think about artificial intelligence to chatbots, and so forth, answering 60%, 70% of the questions, we certainly are looking to continue to drive some headcount down where it's not needed.  But we've also been very good at then reinvesting that headcount where it is needed. So for years, we've taken headcount out of operations, where we got more efficient and put it into technology, where we knew the market was going. So, I'm not sure head count itself, it will all depend on where the growth is. And of course, we've grown headcount, really because of the growth in the business, not necessarily we haven't -- we've never really de-leveraged from a headcount perspective in my, at least 15 years, we've always driven head count down, but may have invested that somewhere else.
Operator: Your next question comes from the line of Tien-tsin Huang of JPMorgan.
Tien-tsin Huang: Just a quick question on retention, you had a lot of good questions there already. But just on Oasis specifically, do you have pretty good line of sight now on the retention there in the initial period, I can't remember if you said that there's an opportunity to maybe improve retention there, once you apply the, maybe the Paychex lay there or not?
Efrain Rivera: We really haven't broken that out. I think we have a pretty good line of sight that it's been pretty solid. We had no surprises whatsoever, which is always good. And on acquisition, I think they've done a good job on the service side and selling to the right clients. We have not seen any fallout from insurance plan changes or anything else at this point. So I think the retention has been solid. And, there's always -- we're always looking for ways to improve it. But we certainly did not have any surprises and we're very satisfied with where they are on retention.
Operator: Your next question comes from the line of Samad Samana of Jefferies.
Samad Samana: So Marty, based in your commentary, it looks like retention was up 100 basis points to 81% on last year's 10-K, you mentioned it's over 82% this fiscal year that just ended. So I'm curious, why did gross new customer adds grow in – or in fiscal ‘19 versus fiscal ‘18. I'm just trying to parse how much of that 3.1% total customer growth was driven by the improvement in gross retention versus new customer adds?
Martin Mucci: Yeah, it's a mix of both. We don't break it out and we don't give that level of detail. But certainly, the overall growth of clients was a benefit of both good sales results and a little bit better retention. Just that improvement and retention alone on the payroll side would not have made that total difference there.
Operator: Your next question comes from the line of Mark Marcon of Baird.
Mark Marcon: I was wondering, you mentioned that in the mid market, you ended up seeing good growth. And I'm wondering specifically, were there some new additions to the overall bundle that’s driving that? What's the primary driver do you think of the improvement there? And I'll leave it there for now.
Efrain Rivera: I think a couple of things. One, I think, certainly the product adjustments that were or the product enhancements that we've made, so adding data analytics, adding a new HR centre, what we call HR centre gives performance management support. Also, I did mention the learning management. So everything that's needed this year from a recruiting, training, the personnel development that clients have been looking for, prospects are looking for, we have added and made it much stronger. And so I think from a product set, that's very good.  From a sales perspective, I think the approach of going totally with HR and the HR need has been very strong as well. So I think the approach of selling HR and approaching the client from their total HR needs has been strong and sales are up, probably the best growth we've seen again in three years in the mid market. And we seem to be on a good path to start the new fiscal year as well. 
Mark Marcon: That's great. And then any change in terms of the profile of those mid market clients in terms of who you're winning them from, or what sort of systems they had in place previously?
Efrain Rivera: No, I don't think so. I think from any of the competitors, I think we're doing pretty well, it's been pretty consistent. I think we're obviously winning a few more I think than we were. And I think that's again, the sales execution is stronger, the sales training is stronger, and the product itself is stronger. So we're pretty pleased with the momentum we're seeing in the mid market. And I wouldn't say it's from any one competitor. I think we're doing pretty well against all of them when you compare it historically.
Mark Marcon: Great. And then with regards to the improvements that you've made, it's been a very short period of time that you've already ramped up in terms of the chatbots, and the ability to answer questions, and you're getting the 60% to 70% of them now, where do you think that goes in a couple of years?
Efrain Rivera: See, I think, I mean, based on the improvement so far, and what I read, when you research this kind of around the country, I would think you could get up to 75%, maybe even 80%. And it's so easy. Well, I think it's easy, but our development team might not, but it's so -- you can be so responsive to the feedback of seeing if the question was answered or not that you get so much better about refining the questions that they're being able to read the questions or asking and respond to that, but I definitely think it could get up into the 75% range anyway, maybe even 80%.
Mark Marcon: And you're directly tying the improvement in terms of the client retention and the client satisfaction scores to people who utilize the chatbot or being serviced?
Efrain Rivera: I wouldn't say if that direct yet. I don't have it, that’s specific, but I think it certainly is part of it. I mean, we really ramped that up this year. And obviously, we've seen good satisfaction and we get good results. We always ask the client, after they've received their answers to dissatisfy what you were looking for. And we're getting very good feedback on that and very good results. So it certainly I think has helped on the client satisfaction, but I think primarily, the satisfaction has been on the product, the ability of the product to serve the client, the ease of use of the product and the great service, personalized service that we're providing.
Mark Marcon: And then with regards to the self implementation on the small end, I know it's really early days, but are you seeing any sort of, maybe too early to tell, but is there any difference in terms of the client retention level that you see from clients that are willing to self implement?
Efrain Rivera: I think it's a little early to really have enough data there. But, what you do see is typically clients who set themselves up historically, even in a small sample, are more likely to be retained, because they feel like it was their fault that there was a problem because they set themselves up. And therefore, they own it a little bit more and they're a little more tolerant of giving us a chance to help fix the issue that they may have created.
Mark Marcon: And then lastly, just workers’ comp for next year, and how we should think about Insurance Services. I'm not talking about the next fiscal year beyond the one that you've already guided for. But for the second half, when we go into the new calendar year, are you assuming that workers’ comp rates are going to be down 15% to 25% in terms of your overall assumption, and then within PEO and insurance, were you expecting the insurance part to be down?
Efrain Rivera: Okay, so that's a compound question, you’ve got two pieces to it. So let me just parse them. So with respect to workers’ comp, workers, the workers’ comp I'm talking about is not workers’ comp that has anything to do with a PEO. So, take that out of your mind. So it’s purely the workers’ comp, yeah, Paychex’s workers comp. So I would say, Mark, I don't know in the back half specifically, how much we have is down. But certainly in the first half, where we declined pretty significantly versus first half of last year and then it starts to moderate, the decline starts to moderate in the back half of the year, because we started to experience the declines in workers’ comp heavily in third and fourth quarters. So I think it moderates as we go through the year. I would not expect the 15% to 20% down in fourth quarter, again, that's -- way too much. I would think we're getting closer to kind of flat or maybe even slightly above by the time we get to purchase, because we're anniversarying some sharp declines in the back half of the year.
Mark Marcon: And then just for the Insurance Services revenue?
Efrain Rivera: So insurance in total? No, because health and benefits is growing nicely, actually had a good quarter revenue wise for health and benefits. This is again, health insurance is to Paychex’s clients. That's growing nicely at upper single digits. And, we'd expect that to continue to grow and grow nicely through the balance of the year.
Operator: Your final question comes from the line of James Faucette of Morgan Stanley.
Steven Wald: It’s Steven Wald on for James. Just maybe one quick one, following up on the margin discussion, I think you said all else equal past sort of 2020, results with Oasis, expect the margin to sort of float up. I think on the last call, you have talked about expecting year-over-year EBITDA margin improvement in 2021. Can you speak to whether that's still your expectation? And also, maybe sort of, if the okay times are good times however you want to call it continue, what the sort of upper limit is on the EBITDA or operating margin?
Efrain Rivera: Yeah, I'll answer the first and can’t answer yet the second. I think we need to have a full year of Oasis under our belt to understand what the behavior of costs is in the business, we understand it will be in 21. We would expect EBITDA margin to float up in ‘21. There's many reasons for that. But, I think that we should see some improvement on EBITDA margin. What is the ceiling of that? A little bit early to say at this point? We'll have a better sense as we go through the year.
Operator: Thank you. I’ll now return the call to Mr. Mucci for any additional or closing remarks.
Martin Mucci: Thank you. And at this point, we’ll close the call. If you're interested in replaying the webcast, the conference call will be archived for approximately 30 days. Thank you for taking the time to participate in our fourth quarter press release conference call and for your interest in Paychex. Have a great day.
Operator: Thank you. That does conclude the Paychex fourth quarter and fiscal year 2019 earnings conference call. You may now disconnect.